Operator: Ladies and gentlemen, good afternoon and thank you for joining us today to discuss One Stop Systems' Financial Results for the Third Quarter Ended September 30th, 2020. With us today are the Company's President and Chief Executive Officer, David Raun; and Chief Financial Officer, John Morrison. Also joining today is the Company's Chief Sales and Marketing Officer, Jim Ison.  Following their remarks we will open the call to your questions. Before we conclude today's call, I will provide some important cautions regarding the forward-looking statements made by management during this call. I would also like to remind everyone that today's call will be recorded and will be made available for replay via the instructions in today's press release in the Investors section of the Company's website. Now I'd like to turn the call over to OSS, President and CEO, David Raun. 
David Raun: Thank you Abby. Good afternoon, everyone. We're grateful that you joined us today and I trust you, your families are staying safe, healthy, and virtually productive. Before addressing the solid financial and operating progress we’ve made during the third quarter, I would like to acknowledge our team's continued effective response to the COVID pandemic. The safety and the health of our employees continues to be a top priority. Our implementation of recommended CDC guidelines has kept our team healthy and products have shipped without disruption. Pandemic has impacted several of our key customers and suppliers limiting our top line revenue growth over the past two quarters. As of Q3, we've identified $9.9 million in lost or delayed revenue compared to our internal annual plan attributed to COVID related matters. More than half of the shortfall was from our largest customer in a media and entertainment space. Despite lower revenues, our dedicated team produced better bottom line results for the quarter versus a year ago. They made great strides to cut expenses, improve efficiency and strengthen One Stop Systems' in the short term and more importantly for the future. As John will outline shortly, our operating margin, EBITDA, net income all improved over the same quarter last year. I'm proud how the employees executed the expense reduction plan implemented in April and layered in new customers during this period. These efforts resulted in reducing our operating expenses by over $1.2 million year to date and we remain on track and committed to our target $2.5 to $3 million in cost reductions on an annual basis. We exceeded our minimum guidance of $11.8 million that we provided our last earnings call coming in at $13 for the third quarter, but also producing strong gross margin of 38%. Before I provide additional color and our outlook for the remainder of the year, I'd like to turn the call over to our CFO, John Morrison, who will take us through the financial details for the quarter. Following John will be Jim Ison, our Chief Sales and Marketing Officer who will share some information on our exciting new products and discuss customer activity. John?
John Morrison: Thank you, David and good afternoon, everyone, I'm glad you can join us today. Earlier today we issued a press release with our results for the third quarter and nine months ended September 30, 2020. The release is available in the investor relations section of our website at onestopsystems.com. Our statement of operations shows that our revenue in the third quarter was $13 million up 12% from $11.6 million in the previous quarter and lower by 13%, compared to 14.9 million, in the third quarter of last year. The sequential improvement in Q3, as compared to our previous quarter was due to increased sales into the military, as expected for the second half. As we highlighted in our Q2 earnings report, much of the decrease in revenue, as compared to a year ago quarter was attributable to a key customers, media and entertainment business, being down by approximately $1.8 million, as a result of the COVID 19 pandemic. This industry is expected to be impacted well into 2021. Revenue for the nine months ended September 30, 2020 was $38 million, a decrease of 5%, as compared to the $39.9 million in the same year ago period. The decrease was due to a reduction in revenue of $3.8 million, in our media and entertainment mentioned --business mentioned before as well as a reduction of $1.9 million from the staff, military contractors and other reductions due to COVID impact -- due to COVID impacted customers. These reductions were primarily offset by year-over-year growth of new business from the MRI, autonomous vehicles customers and PCI Express Gen4 test equipment supplier that move revenue total $5.9 million. In terms of the revenue breakdown between our operating units in Q3 our core OSS business contributed $9 million, as compared to $9.7 million in the same year ago period. Our European subsidiary Bressner with several customers, they're also being affected by the pandemic, contributed $4 million in the third quarter. This compares to the $5.2 million in the same year ago period. For the nine months of -- for the first nine months of the year, our core OSS business contributed $24.7 million of revenue, as compared to the $26.2 million of revenue in the same period. Bressner, they contributed $13.2 million of revenue in the first nine months, as compared to $13.7 of revenue in the same period last year. We are no longer reporting CDI, as a standalone business unit. As we completed the integration of CDI into our core OSS operations, as of July 1 2020, this was part of our reorganization and cost reduction program that we implemented earlier this year. Now, turning to gross profit, during the third quarter, we have strong gross margins of 37.8% smaller -- in a smaller gross profit, as compared to the prior year on reduced revenues of $1.9 million. Our gross profit was $4.9 million compared to $5 million on 33.7% gross margin, in the same year ago quarter. Gross margins to our core OSF business increase to 44.6% in the third quarter from 39% in the same year ago quarter. This improvement of 5.6 percentage points was attributable to higher margin military sales, combined with a decrease of the lower margin media and entertainment business. Bressner's gross margin decreased by 22.5% in the third quarter, as compared to 23.7% IN the same year ago period on reduced sales. For the first nine months of 2020, gross profit totaled $11.6 million or 30.6% of revenue. This compares to $12.9 million or 32.2% of revenue in the same year ago period. Gross margin for our core OSS business was 35.7% in the first nine months of the 2020 as compared to 37.2% in the same year ago period. Bressner’s gross margin decreased to 21.1% in the first nine months, compared to 22.8% in the nine months last year. Our overall operating expenses decreased 15% to $3.9 million from $4.6 million in the third quarter of 2019. The decrease was primarily due to the cost reduction initiative that we began in April well workforces reduced and new cost containment efforts were implemented. Overall, our operating expenses as a percentage of revenue improve slightly to 30.2% in the third quarter, compared to 30.9% in the same year ago quarter lower revenue. This improved expense level does reflect the $2.5 million to $3 million in annual savings we expect to realize from our expense reduction program. For the nine months ended September 30, 2020, our total operating expenses decreased 19% to $12.6 million as compared to $15.8 million in the same period last year. The decrease is primarily attributable to the reorganization and expense reduction program, executed by the team, along with the non-reoccurring goodwill impairment charge of $1.7 million in the prior year. Operating expenses, as a percentage of revenue for the nine months period improved to 33.1% versus 38.7% in the prior year period. This change, again, reflects the success of our expense reduction program and improves the efficiencies. On a pro forma basis, after adjusting for last year's goodwill impairment charge of $1.7 million, our operating expenses in the first nine months of 2020 decrease 8.6% or $1.2 million to $12.3 million as compared to a year ago. Despite lower revenue, income from operations was $979,000 an improvement of $560,000 compared to the same year ago quarter. For the first nine months of 2020, our loss from operations is $938,000 compared to $2.6 million loss in the prior year. After adjusting for the prior year's goodwill impairment charge on a pro forma basis, the operating loss in first quarter -- first nine months 2020 was $938,000 as compared to 896,000 in the prior year. Our net income on GAAP basis totaled $858,000 or $0.05 per share in Q3 2020. This compared to an income of $545,000 or $0.03 per share in the same year ago period. For the first nine months, net loss on a GAAP basis improved to $250,000 or a loss of $0.02 per share compared to a loss of $2 million or $0.13 per share in the first nine months of last year. On a pro forma basis, after giving effect for an adjustment for goodwill impairment charge in the prior year, GAAP income was relatively flat in the prior year even on lower revenues. On a non-GAAP basis, net income totaled $1.2 million or $0.07 per diluted share in Q3 2020 as compared to $900,000 or $0.05 per diluted share in the same year ago period. For the nine months of 2020, non-GAAP net income totaled $773,000 or $0.05 per share compared to our non-GAAP net income of $1 million or $0.06 per diluted share in the nine months of 2019. Adjusted EBITDA which is another non-GAAP metric was up to $1.6 million Q3 as compared to $1 million in the same year ago quarter. For the nine months of 2020, adjusted EBITDA was $682,000 compared to $881,000 in the same year ago period.  Now, let's take a look -- let's turn over to our balance sheet. Cash and cash equivalents totaled $5.5 million on September 30, 2020, as compared to $4.7 million as of June 30, 2020. Our cash position as of today is approximately $5.4 million. We believe our cash position and available funds provides us with sufficient liquidity to meet our cash requirements for current operations. This completes our financial review for the quarter, and for the nine months -- first nine months of the year. I now would like to turn the call over to Jim.
Jim Ison: Thank you, John, and good afternoon, everyone. In the third quarter of 2020, we continue to see positive results from our efforts to diversify our customer base and our opportunity pipeline has continued to grow. During the quarter, we closed four additional major opportunities, including industrial, medical, and two new military programs in Edge computing, which brings program wins to a total of 13 so far this year, despite the pandemic. By comparison we had 14 at this time last year. As a reminder, we defined program wins as those expected to yield $1 million or more of revenue within four years. To quantify the importance of these new program wins, our wins in 2019 are expected to contribute more than $12 million in revenue for 2020. On the new product front we introduced the 4U Pro, expanding our Gen 4 product line. The 4U Pro enables high performance edge computing through GPU acceleration and NVMe storage. Initial customer interests include industry leaders and instrumentation, measurement, factory automation, automotive, military and other edge market. Q4 shipments of the 4U Pro include the world's largest composable high performance computer being delivered to the U.S. Army by one of our customers. An exciting milestone for Q4 includes our first shipment of what we codenamed Monarch, which is our first data center in the Sky deployment. This high performance GPU accelerated server enables real time AI for threat detection in the harsh environment of a military aircraft. Assuming success, this innovative product may lead to new widespread military application. On the marketing front, we have hosted three high-quality virtual events focusing on our AI on the Fly and datacenter in the Sky solution. These events including demonstrations of our PCI Express Gen 4 expansion systems that incorporate NVIDIA's A100 GPUs in unique form factors. These systems deliver up to an astonishing 20 times the performance compared to previous generation. Despite the global challenges created by the pandemic, we remain focused on driving sales and improving our marketing efforts. We believe by maintaining this focus we will continue to drive future growth and opportunity for OSS. Now with that, I'd like to turn the call back over to Dave.
David Raun: Thank you, John, and Jim. A large component to the stronger margin this quarter was a higher percentage of sales into the military vertical as compared to the past two quarters. Although a good portion of the sales will be programs we talked about, such as the storage products, including data storage units or DSU. Adoption of our product continued to expand to include accelerators and servers, we expect strong growth in the military vertical over the coming years based on user engagement and the value proposition we offer in this space. We've also been working on a multi year strategic plan to enhance our future product roadmap and vision leveraging the strong talents of key OSS employees, we have formed an internal Tiger team. The empowered group has been analyzing the market, as well as work to create the highest value, greatest customer poll and best margins. Our objective is to enhance our current strength and leverage them to create higher value products for specific target verticals. From these efforts, over the past several weeks, we've started to share preliminary new product concepts with several customers in channel partners under NDA. We are pleased with the initial constructive feedback, which is valuable in helping us redefine our strategy. We will continue to engage with current and potential target customers to solidify our plan. While there are many different opportunities in the fast growing edge computing space, we're focused on the most challenging environment. The most promising opportunities for OSS currently is in the military and various types of transportable applications. These verticals demand the highest performance delivered in harsh environments and in the smallest space while resolving cooling and power challenges. Our value proposition is performance without compromise. We're committed to bringing next generation products to market for specific verticals where we can create and maintain a leadership position. I am pleased this is underway, and I look forward to sharing more over time. As we look forward to the final quarter of 2020, we're on target to generate revenue of approximately $13 million. While the past quarter continue to be challenging for OSS, and then with our customers -- and many of our customers, we've made significant progress in multiple areas that positioned us to strengthen performance ahead. This includes diversifying our customer base and product development, greater efficiency, lower operating expenses, improved profitability, and a healthier balance sheet. Now, I'd like to open up the call to your questions. Abby?
Operator: Thank you. [Operator Instructions] And we will take our first question from Ruben Roy with Benchmark.
Ruben Roy: Thank you. Hi, David. I wanted to start with the near-term question and then ask the longer term question. I think, it’s for Jim, but for you, David, you had mentioned the $9.9 million loss to delayed most of, or half of which, I guess more than half which was from new media, largest customers, is there some initial thoughts on what portion of that is cancelled and not coming back versus perhaps about portion we might see in terms of delayed revenue whenever our situation with a pandemic improve?
David Raun: Yeah, so first of all, I want to clarify some $9.9 million is up looking at our annual plan that we put together, which showed significant growth for the year. And so that's what we expected, because we wanted to understand better, did COVID really impact us? Or is it something else going on, and what we saw we calculate $9.9 million, off that, as you -- as you already said, over half was related to the our largest customer. And then after that, what you really look at is the military part of it was really a delay, and is showing up basically in fourth quarter for the most part. So we haven't really lost anything in the military portion of the business for the year, which is good news, what we've seen it the logistical delays on their part, where they just have a hard time get together and moving forward on programs. Then the next biggest component of basically that $9.9 million is the commercial aircraft segment, basically with a CDI flight. If you think about the airline industry today and how they've been impacted. What we see on that front is that although it slowed down activity for entertainment systems, and to a degree high speed networking on a plane, which we're involved with, what has continued to go forward is safety measures on these aircraft. To get to your point what we feel is, for the most part, assuming vaccine or time takes care of us and we think most of these opportunities come back, these aren't accounts that have disappeared. The need hasn't gone away and so we're optimistic once the thing turns around to get the benefit of that coming back plus the new customers and the expansion in the military.
Ruben Roy: Right. Okay. That's very helpful. Thanks, David. And then for Jim, as David mentioned, you guys are working on diversifying your customer base. So the program that you're involved in et cetera is industrial and medical win closed during a quarter, how did those types of end market applications compare in terms of ramp to revenue? I know the one million part, number that you guys give us in terms of these major design wins that he talked about, relates to kind of a four year outlook on that revenue line. But I think military, as understood military has been maybe a little bit slower moving in some cases. Is that true? Or am I off based on that, I try to just to -- try to figure out if some of these newer designs are maybe faster to ramp into actual revenue production.
Jim Ison: Scott, it’s a good question, because the commercial market tends to be a six to 12 months, when we have a long-term program, sales cycles from the time we get the initial orders to the time we start shipping production. Similarly with the government, it’s 12 to 18 months in those cases. So from the time we announced a win to the time it produces significant revenue, is the 12 to 18 months range.
David Raun: If I wouldn't mind adding to that is, I want to -- I want to point out what Jim commented on. And that is that the wins last year, which I think we had 16 of them, or so, 10 of them showed up already in revenue in 2020 for about $12 million. And some of the wins in 2020 is already part of the revenue in 2020, and then, together really helped 2021. Part of this is the fact that all that we talk about these long periods of time, Jim's pretty conservative on what he calls a new win. So when it's basically, if it's a custom product or the financial commitment, meaning they've already paid them [indiscernible], and as a program behind it, if it's a commercial customer, it's more than we've seen the initial production orders and to have those on hand. So it's a pretty conservative definition of NIM.
Ruben Roy: Right, okay. Thanks for that. David, actually, if I could just take one, one other one and just around your commentary on is sort of the evolving strategy of customer engagements and that type of thing? How do you marry that up with some of them? Maybe John can comment on with some of the operating expense reductions that you guys have been successfully working on, just trying to understand what this means when you're talking about going out and trying to discuss with customers sort of your product roadmap and how to better address some of these new markets and customers in relation to a lower overall spend from an operational perspective?
David Raun: Yeah. So, we've looked at that and the type of products that we're talking about, with the products that we're assuming we move forward, the current ones or revision of them, starting to move forward with them. And like the Q1 timeframe, the revenue from it, we going to see in 2022-2023 timeframe, just takes that kind of time to develop, get them in the customer hands and all of that. As far as resources, we're watching that very closely. But based on our understanding what we would need to do and get them to market, because it's every leverage on skills we already have. We don't have to ramp up the group significantly. And we're hoping that we could some additional growth next year that would help us make some strategic hires in the process. And let me just comment on that, after we did the expense reduction, we're not saving our way to profitability, not saving our way to something, we did a lot of changes needed to do. And we've made some hires, but we're very strategic. We get together as a team. And we said, what's going to produce the highest return and an example, we hired a couple engineers when we got together and said, we get the highest return on a couple more engineers.
Ruben Roy: Excellent. That's very helpful. Thanks, David, and good work to the team in a tough environment. Thank you.
David Raun: Thank you.
Operator: Operator: [Operator Instructions] And we will take our next question from Joe Gomes with NOBLE Capital.
Joe Gomes: Good afternoon. Nice quarter and some challenging times here. I just wanted to touch a little bit here on your largest client. You mentioned that you think this could be pushed out somewhere into 2021. Before you see the real rebound there. Obviously, we had a big receivable there, what is this doing to that? We're stretching out the timeframe and getting paid back also. You know, any additional detail or color you can have on – the Sky is seeing any type of sequential improvement at all, anything more provide us about Sky’s would be appreciated?
David Raun: Yeah, great question. So first, let's jump right to the Media first which is the AR, we have bought that down under 2 million, we were about 5.41 – 5.4 million at one time. That's the result of worked very closely by our VP of Operations, John, our CFO and Jim working closely with the customer. In my engagements with their CEO, they've been meeting their obligations and paying down that debt, although there's – they haven’t gone to zero risk and continue to minimize that risk, that's on the one side. On the second side is to really have two product lines. One product line to one we always talk about, and it's the one that's impacted us. Definitely not going to see an activity of significance, we still see some, but similar to this past quarter and the quarter before, there is definitely no as you would expect, no big move down in the fourth quarter. And that's reflected in the number we just mentioned. So those are large gathering events. You know, our assumption with this is based on our assumption, our assumption is that it's really mid-year, before large gatherings come back together. And the worst case, it could be later next year, frankly, if the vaccine doesn't work, and things get really bad. The second part of the product line is a virtual product line. And I talked about that a little bit before, we're starting to ship more of that product. It's not anything that drives the number up significantly this year. But they're getting a lot of interest, a lot of engagement for the customers. And that's something that could help us in the first half of 2021. We just don't – we don't – we don't know how to size it yet. But it looks very attractive, it's the same kind of products we shipped to them, and we will enjoy, you know, the business that they do well on that front.
Joe Gomes: Great, thanks for that. And again switch gears down to the military side. Was the big military client there and they won on track to produce the typical revenue that they normally do. And number two, obviously, the federal government operating under a continuing resolution, that having any impact, if you guys that bringing up any potential monkey wrenches for fourth quarter sales in the military?
David Raun: Our fourth quarter revenue in the military is strong. As a result, we'll have strong margin. And the – particular customer talking about the customer that is we used to talk about on the storage unit, the DSU, which I kind of alluded to in part of the script. We've always talked about that. What I like is the fact that that's really proliferated within that organization. So that we have solid wins in multiple programs now. And we're starting to see the prototype quantities and you'll start to see it kicking in 2021 of a number of those programs. So this year, we're doing fine with them. They're not hitting us hard. I think we're approximately flat or a little up overall in the military space for the year. And next year, we have an opportunity to grow at nicely.
Joe Gomes: Okay. And one last one for me if I may. You talked about the virtual shows a little bit the webinars and just trying to, again, provide some more color on how those are working with your customers. What kind of impact are you seeing? Do we think that this is as they like to say that the new changes in the business model going forward even when we hopefully get rid of this coronavirus or healed coronavirus here in the near term?
David Raun: Yeah. So our virtual events have been a mixture of the virtual trade shows that we used to show up in person and also webinars. And with the webinars. We've been doing them with NVIDIA and Marvell, some big power companies that are partners in this, that we bring products together to the market. For example, NVIDIA does a lot of data center type products and hardware now that they didn't read before, but they don't work with the same type of edge applications that we do. So they very much like us to take that product ruggedized occurred at the edge for these design wins. So they have a more virtual event, along with NVIDIA created a large pool of the opportunities that we've been continuing to work with. From the sales front, it's been a challenge, but everybody's working remotely. Now everybody's getting used to working remotely, including our customers. So the level of interaction, I think, even from the design wins standpoint has been very similar to what it was last year just things develop maybe a couple months to a quarter slower than normal, especially when you're talking about military, but to keep the pipeline alive and the team has been doing a good job with that.
John Morrison: I just expand on kind of how I looked at it. I would say, our historic trade shows where we're in person and travel customer, it's more effective. There's no way around that. But then at the end of the day, everybody needs the solution from somebody, right? So they're looking at whatever. And I think so it's really what companies decide, okay, this is the new world and jumped on it quickly. I'm very pleased with what Jim and his team did on this part. They jumped on it right away. They're doing the best they can and come up with creative things. They’re doing demos. They’re doing all these different things. And I see other companies that think without it to not talk to somebody of the day, which is like how would you think this things going to be over soon. And we're hoping on that, and so we're doing the best we can. And hopefully, we're doing a better job than other people in our space.
Joe Gomes: Great. Thank you guys for taking the question.
John Morrison: Thank you, Joe. We appreciate it.
Operator: [Operator Instructions] And we will take our next question from Dave Flowers [ph], who is a Private Investor.
Unidentified Analyst: Hi fellows Nice job. Good relations and a lot of good news margins, both the net, lower expenses, deposits, et cetera, that's all really good stuff. The lower revenues are understandable with the entertainment and media business going down and the impact of COVID. But something caught my eye and that was the Q3 inventory comparison. Notice that the net inventory seemed to have gone up about 35%, while the revenues are down 13%; I wonder if you could shed some light on that?
John Morrison: It happens to be our quarter end result; we are bringing in inventory for the fourth quarter associated with military sales in the fourth quarter and we are having to bring those inventories in earlier just to ensure that we have the supply chain there, as there has been an extension of the lead-times associated with COVID. So, it's just a matter of a timing issue there. We will be through that ex that inventory by the end of the fourth quarter when we ship out these military sales by December 31.
David Raun: The other thing I would add to that Dave -- Dave what I'd like to add to that, part of it also is just the situations our largest customer. We've been carrying a higher inventory throughout the year as a result of that. Fortunately, we're burning through it to some degree, but -- and we worked down the AR, but they went -- basically, they were doing a very large number, and it just fell off the map and choo-choo. If you remember, we had a huge pipeline coming in at that time. It's just been hard to bring that down. But we're working it down and we don't see risk with it.
Unidentified Analyst: Good. So, you've done the slow moving and this obsolescence analysis--.
John Morrison: We pay very close attention to it. I do a detailed analysis every single quarter to make sure that we're comfortable with that. So, I think everything there is sellable.
Unidentified Analyst: Great. Thanks for the answer. I have one more question that is about gross margin longer term. What are your targets for 2021?
David Raun: We haven’t provided a number yet. What do you want to say on that, John?
John Morrison: Yeah, I will tell you with our current models that we are showing -- that we are modeling and having the effect of COVID last to about July 2021 in one model, and extending out to the entire year next year, we are basically showing that our margins will be relatively consistent with the current year.
Unidentified Analyst: Okay. And much of that is attributable to a consistency and the amount of revenue as well as our product mix. So, COVID persist and we are seeing -- we'll probably see consistent margins as we saw this year.
David Raun: David I will say the intention is to drive that up. I mean, there's a lot of focus on that. We just need to really can't really point to something other than activity that's taking place in organization. But it's a huge focus of the company to be able to drive that up year-after-year.
Unidentified Analyst: Great. Keep up the good work, guys.
John Morrison: Thank you. Appreciate it.
Operator: And we have no more question. So, I would like to turn the conference back to Dave Raun on for any additional or closing remarks.
David Raun: Thank you, Abby. And thank you everyone for joining us today. We look forward to talking to you in the future and reporting our progress. Meanwhile, feel free to reach out to John, Jim or me anytime. Abby, please go ahead and wrap up the call.
Operator: Thank you. Now, before we conclude today's call, I would like to provide the Company's Safe Harbor statement that includes important cautions regarding forward-looking statements made during today's call. One Stop Systems cautions you that statements in the presentation are not a description of historical facts, are forward-looking statements. These statements are based on the Company's current beliefs and expectations. Such forward-looking statements include those regarding the Company's expectations for revenue growth, generated by new products, design wins or M&A activity. The inclusion of such forward-looking statements and others should not be regarded as a representation by OSS that any of its plans will be achieved. Actual results may differ from those set forth in the presentation due to the risks and uncertainties inherent in our business, including, without limitation, that the market for our products is developing and may not develop as we expect; global pandemics or other disasters or public health concerns, including COVID-19, in regions of the world where we have operations, customers or source material, or sell products that may affect such markets; our operating results may fluctuate significantly, which would make our future operating results difficult to predict, and could cause operating results to fall below expectations or guidance; our ability to successfully integrate the operation systems, technologies, product offerings and personnel with acquired companies may prove difficult and adversely affect our financial results; our products are subject to competition, including competition for customers to whom we may sell and competitive pressure from new and existing companies may harm our business sales, growth rates and market share; our future success depends on our abilities to develop and successfully introduce new and enhanced products that meet the needs of customers; the likelihood of our design proposals becoming design wins is uncertain and revenue may never be realized; our products fulfill specialized needs and functions within the technology industry and such needs or functions may become unnecessary to the characteristics of such needs and functions may shift in such a way as to cause our products to no longer fulfill such needs or functions; new entrants into our market may harm our competitive position; we rely on the limited number of suppliers to support a manufacturer design process and if we cannot protect our proprietary design rights and intellectual property rights, our competitive position could be harmed or we could incur significant expenses to enforce our rights; our international sales and operation subject us to additional risks that may or that can adversely affect our operating results and financial conditions and we fail to remedy material weaknesses in our internal controls or financial reporting; we may not be able to accurately report our financial results; and other risks described in our prior press release and in our filings with the Securities and Exchange Commission, SEC, including under the heading Risk Factors in our Annual Report on Form 10-K and any subsequent filings with the SEC. You are cautioned not to place undue reliance on these forward-looking statements which speak only as of the date of the conference call, and we undertake no obligation to revise or update this information to reflect events or circumstances after this date thereof. All forward-looking statements are qualified in the entirety of this cautionary statement, which is made under the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Before we end today's conference, I would like to remind everyone that this call will be available for a replay starting later this evening through November 26. Please refer to today's press release for dial-in and replay instructions available via the Company's website at ir.onestopsystems.com. Thank you for joining us today. This concludes our conference and you may now disconnect.